Operator: Good morning, ladies and gentlemen, and welcome to the Arcosa, Inc. Third Quarter 2024 Earnings Conference Call. My name is Jim and I will be your conference operator today. As a reminder, today's conference is being recorded. And now I would like to turn the call over to your host, Erin Drabek, Director of Investor Relations for Arcosa. Ms. Drabek, you may begin.
Erin Drabek: Good morning, everyone, and thank you for joining Arcosa's third quarter 2024 earnings call. With me today are Antonio Carrillo, President and CEO; and Gail Peck, CFO. A question-and-answer session will follow their prepared remarks. A copy of the press release issued yesterday and the slide presentation for this morning's call are posted on our Investor Relations website, ir.arcosa.com. A replay of today's call will be available for the next two weeks. Instructions for accessing the replay number are included in the press release. A replay of the webcast will be available for one year on our website under the News and Events tab. Today's comments and presentation slides contain financial measures that have not been prepared in accordance with GAAP. Reconciliations of non-GAAP financial measures to the closest GAAP measure are included in the appendix of the slide presentation. In addition, today's conference call includes forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. Please refer to the company's SEC filings for more information on these risks and uncertainties, including the press release we filed yesterday and our Form 10-Q expected to be filed later today. I would now like to turn the call over to Antonio.
Antonio Carrillo: Thank you, Erin. Good morning, everyone, and thank you for joining us today. There are three key takeaways I want to highlight as we look our third quarter progress, which you can see on Slide 4. First, our third quarter performance and profitability were strong, a result of our success in growing the business with meaningful margin expansion. During the third quarter, adjusted EBITDA grew significantly faster than our top line growth. We also generated free cash flow of $107 million as we prioritized working capital management. Next, we made significant progress on our strategic transformation. During the quarter, we completed the divestiture of our steel components business. And on October 1, we closed the acquisition of Stavola, the largest purchase in Arcosa's history. Stavola expands our aggregates footprint into the nation's largest MSA with increased exposure to lower volatility infrastructure markets. In our press release yesterday, we increased our adjusted EBITDA guidance for 2024 reflecting these portfolio actions. The midpoint of our revised adjusted EBITDA guidance reflects a 34% increase year-over-year when normalizing for the steel components divestiture and a large land sale gain in 2023. Finally, we completed these initiatives while implementing financial flexibility that enables us to use our cash flow to reduce our net leverage towards our target of 2x to 2.5x over the next 18 months while supporting our capital allocation priorities and growth initiatives. Slide 7 shows the positive results of our strategic transformation. Once we spun off from Trinity in 2018, our Construction Products business represented one-third of adjusted EBITDA. Today, our cost is much larger than we were in 2018, and the Construction segment represents two-thirds of our EBITDA. We have come a long way as we have worked to build a simpler, more focused and less cyclical company. This strategy continues to drive our operations and decisions every day and was a key driver of the transactions we completed throughout this year. Now let me briefly discuss third quarter results on Slide 9. From a profitability perspective, we delivered strong results relative to prior year as the third quarter benefits from recent acquisitions and divestiture progress, along with solid organic growth and more efficient operations. Third quarter consolidated revenues increased 14% and adjusted EBITDA increased 39%, with margin expanded 330 basis points to 18.4% after normalizing for the divestiture of steel components. This was driven by organic improvement led by construction products and engineered structures and supported by accretive acquisitions completed earlier in the year, including Ameron. Within Construction Products, we were very pleased with the strong unit profitability growth and adjusted EBITDA margin expansion. Our operations performed well overcoming weather challenges and recent bolt-ons are contributing nicely. Construction activity was stable during the quarter despite overall volumes coming in lower than expected. A portion of the volume weakness reflects our commercial strategy as we continue to value price over volume. However, we do believe an element is also related to uncertainty regarding both the future path for interest rates and the outcome of U.S. elections. Turning to Engineered Structures. Ameron continues to perform well with strong execution. With respect to Wind Towers, our new facility in Berlin, New Mexico continues to ramp up production and has contributed positively to adjusted EBITDA. Market fundamentals for utility structures remain very healthy. Transportation Products results were distorted by the impact of steel components divestiture during the quarter. Our barge business continues to perform in line with expectations, and we were pleased with the 0.9x book-to-bill in the quarter. As you know, during the third quarter, several regions where we have operations were affected by severe weather events. Our focus during the quarter was to support our employees and local communities. Our people and our plants were not significantly affected by these weather events and the Arcosa team showed incredible resilience in getting our plants back operating as soon as conditions were safe. Overall, our third quarter financial performance reflects strong operational performance and the continued positive impact from the strategic initiatives we began implementing six years ago. Since that time, we have seen improved revenue trends and meaningful acceleration in our margins. I will turn over the call to Gail to discuss our third quarter results in more detail. Gail?
Gail Peck: Thank you, Antonio. Good morning, everyone. I'll begin on Slide 10. Starting with Construction Products. Third quarter revenues were roughly flat year-over-year. Before discussing the individual businesses, I'll note two factors that weighed on overall segment revenue growth in the quarter. First, the decline in freight revenues, which is a pass-through, reduced segment revenues by approximately 3%; second, a divestiture of a small underperforming asphalt business completed in the second quarter decreased segment revenues by roughly 2.5%. Excluding these factors, segment revenues increased 7% year-over-year with both organic and inorganic contributions. Third quarter adjusted segment EBITDA increased 21%, primarily due to the accretive impact of recent bolt-on acquisitions. Higher unit profitability in our aggregates business and operating improvements in our specialty materials and trench shoring businesses. Freight adjusted segment EBITDA margin was 29%, up 380 basis points year-over-year and 120 basis points sequentially from the second quarter. In our aggregates business, which includes both natural and recycled aggregates, pricing momentum remains strong with average organic pricing up low-double-digits from the prior year. Total volumes were roughly flat year-over-year, and organic volumes were down high single-digits in the third quarter. The accretive impact of recent acquisitions and solid organic expansion driven by unit profitability gains resulted in more than 20% adjusted EBITDA growth. Our aggregates business contributed approximately two-thirds of the year-over-year margin improvement for the segment. Within Specialty Materials, freight-adjusted revenues increased low-double-digits, driven by strong pricing gains across our product lines and higher plaster volumes. Operational improvements in this business resulted in higher adjusted EBITDA and margin expansion. Wrapping up the segment with our trench shoring business, revenues decreased on slightly lower volumes and reduced steel prices. Operating efficiencies resulted in higher adjusted EBITDA and margin expansion. Moving to Engineered Structures on Slide 11, revenues increased 26% due to higher wind tower volumes and the addition of the recently acquired Ameron business. In Utility Structures, higher volumes and improved product mix were mostly offset by lower steel prices. Adjusted segment EBITDA grew 74%, outpacing the increase in revenues, resulting in 450 basis points of margin expansion, strong organic growth from the ramp in our wind towers business, improved product mix and utility structures and lower steel costs were supplemented by the accretive contribution from Ameron during the period. Order activity in utility structures remains healthy with attractive margins. In wind towers, we did not book any new orders during the quarter, but we continue to have dialog with our customers on future needs. We ended the quarter with a backlog for utility wind and related structures of $1.3 billion and expect to deliver 20% of the backlog during the remainder of this year and about half in 2025. Turning to Transportation Products on Slide 12. Segment results were impacted by the mid-quarter divestiture of the steel components business. During the quarter, we recognized revenues of $14 million and an adjusted EBITDA loss of $1 million for steel components, which was below our expectations as the business was impacted by the deferral of certain product shipments and business interruption from the divestiture process. In connection with the sale, we recognized a pretax loss of $23 million, which has been excluded from adjusted segment EBITDA. Third quarter revenues for our barge business increased 21%, primarily due to higher tank barge deliveries. Adjusted EBITDA increased 8% and margin declined 190 basis points primarily due to a planned changeover to tank barge production in one of our barge facilities. We expect margin for the barge business to improve sequentially in the fourth quarter now that the changeover is complete. We received barge orders of approximately $75 million during the quarter for both tank and hopper barges, representing a book-to-bill of 0.9. Our total barge backlog at the end of the quarter was $245 million, of which approximately 70% is expected to be delivered in 2025, giving us good production visibility for next year. I'll conclude with some comments on our cash flow and balance sheet on Slide 13. We generated strong operating cash flow of $135 million during the quarter, up $91 million from the prior period, driven by increased earnings and a $50 million reduction in working capital led by a reduction in accounts receivables. Year-to-date, working capital was roughly neutral to cash flow. Capital expenditures were $34 million, down from prior year and on a sequential basis, as we near completion on organic projects underway. This translated to third quarter free cash flow of $107 million, of which $60 million was used to pay down borrowings on our revolving credit facility during the quarter. We are adjusting our full-year CapEx guidance to $180 million to $195 million from $190 million to $205 million previously. At the midpoint of the range, this implies roughly $50 million of CapEx for the fourth quarter, which is inclusive of CapEx for Stavola. We are prioritizing the completion of large growth CapEx projects. Those projects at Stavola has in flight as well as ongoing maintenance CapEx. We ended the quarter with net debt to adjusted EBITDA of 1.2x. Pro forma for Stavola, net leverage is 3.4x, down from 3.7x when we announced the acquisition, demonstrating our commitment to prudent deleveraging. We funded Stavola with a combination of attractively priced fixed and variable rate long-term debt that includes ample prepayment flexibility as we intend to return to our targeted long-term net leverage range of 2x to 2.5x within 18 months. I'll conclude with a couple of comments for modeling purposes, now that Stavola has closed. First, it is important to revisit the seasonality impacts that Stavola is expected to have on our results given its Northeast locations. Looking at recent historical results, Stavola's first quarter revenues generally represent less than 10% of its annual total and first quarter EBITDA is approximately breakeven, of course, weather dependent. Similar as our existing construction materials business, the second and third quarters are seasonally the strongest. And second, we included our updated expectations for full-year net interest expense and the reconciliation tables accompanying yesterday's press release. At the midpoint, this implies fourth quarter net interest expense of approximately $34 million, up $22 million from the third quarter, roughly $5 million of projected interest expense is nonrecurring and related to arrangement fees on the acquisition bridge commitment that will not be included in fourth quarter adjusted EBITDA -- excuse me, adjusted EPS. I'll now turn it back to Antonio for an update on our outlook.
Antonio Carrillo: Thank you, Gail. Overall, our third quarter performance was consistent with our expectations, and we remain optimistic about the opportunities ahead of us. Now turning to our 2024 financial outlook on Slide 15. As I mentioned, we are increasing our guidance to reflect our performance year-to-date, the contribution from Stavola, as well as the divestiture of steel components business. We're now estimating 2024 revenues of $2.56 billion to $2.63 billion and adjusted EBITDA to be in the range of $435 million to $450 million. We have been aggressively investing in our growth business over the past two years and are starting to see the benefits of these investments. In 2025, those investments will continue to ramp up and contribute to our growth while we prioritize debt reduction and maintenance projects versus new growth investments. Our approach to capital allocation remains consistent and deliberate. We will continue to successfully balance efficient growth with long-term investments while deleveraging the balance sheet and creating value for shareholders. To reiterate what Gail said before, we're firmly committed to quickly returning to our long-term net leverage target. Now please turn to Slide 16 for a discussion on our business outlook. The outlook for construction products is enhanced by recent portfolio actions, both acquisitions and divestitures and supported by favorable multiyear market fundamentals, including increased infrastructure spending and overall shortage of housing availability. These fundamentals and the strategic actions we have taken are reflected in our higher revenue and increased margin expectations for 2024. Currently, our Construction Materials business is experiencing lower volumes on an organic basis, which is partly weather-driven, but also resulting from some delays in infrastructure spending ahead of the U.S. election and single and multifamily construction that has been slow to recover. As a result, for the full-year, we now expect volumes for the aggregates business to be down mid-single digits on an organic basis. Pricing growth continues to be strong across our product lines. In aggregates, low double-digit organic price increases so far this year, sets us up for continued momentum next year. During the fourth quarter, construction products will benefit from Stavola, a transformative acquisition for us, which will contribute to both growth and margin expansion. Moving next to Engineered Structures. Order activity for utility and traffic structures remains healthy given the grid hardening initiatives and road infrastructure spending. Other positive long-term demand drivers include 5G telecom, street lighting upgrades, such as LED and connecting renewable energy to the grid. The integration of Ameron is progressing well and is accretive to margin for the business. For wind towers, we continue to ramp up production in the Belen facility and discussions with our customers indicate increased demand for new wind tower deliveries in 2026 and beyond. The current backlog coupled with ongoing negotiations for new business bodes well for increased production volumes and improved profitability as we move forward. Shifting to Transportation Products. We are cautiously optimistic about this business as there has been significant underinvestment in the aging inland barge fleet over the past few years. Our current backlog, along with orders received since the quarter end, position us well for 2025 with our planned tank barge capacity already fully booked for next year and about half of our hopper barge capacity similarly field. With the current backlog, we have the flexibility to continue to ramp up production in preparation for what we expect will be a multiyear strong cycle given the stake and age of the barge fleet. Summing up, 2024 has been an important, exciting and transformational year for Arcosa. Our results demonstrate the success in executing our strategy of investing in our growth businesses while simplifying our portfolio to become a company focused on expanding in attractive markets with fantastic growth opportunities. Our improved positioning will serve us well as we enter 2025, and we continue to see additional opportunities to enhance our growth and profitability over time. I want to recognize and thank all of our Arcosa employees for their dedication and contribution throughout the year and welcome the Stavola team to Arcosa. This ends my prepared remarks. We're now ready to take your questions.
Operator: Thank you. [Operator Instructions] We'll hear first today from Trey Grooms at Stephens.
Trey Grooms: Hi, good morning everyone. And nice work in the quarter.
Antonio Carrillo: Thank you.
Trey Grooms: Yes, and thanks for all the details on everything. Antonio, do you have any early thoughts maybe on kind of how the 2025 demand outlook could be across your Construction Products in markets, even if it's just high level. Just any color you could give us on your thoughts there would be great.
Antonio Carrillo: I'm going to give you a little color. I think -- and this is not only for construction, I would tell you, general. We're very excited about '25. We feel that our businesses have really nice tailwinds across the board. But I will tell you one of the things, and I mentioned it shortly in my prepared remarks. I think in conversation with customers and in the industry, I think the impact of the uncertainty around elections. It's larger than we are really, really -- it's hard to measure. But I think there is significant, people are going shy in pulling to big projects and things like that. And I don't think it's who's going to win, it's just let's get it over with it. It's -- let's get this -- let's focus again on business and doing what we need to be doing. So that's one aspect about it. For the rest, I think interest rates are not coming out as fast as we wanted, but we would like and housing, it's still very, very slow, multi-housing is also not doing very well. But then you have a lot of positives. No manufacturing is doing very well. The data center construction is doing well and the housing recovers, I think, will come into 2025 with positive momentum and the pricing situation that we've been able to build during 2024 really sets up very well for '25. So I'm optimistic about '25 for construction, but overall as a company.
Trey Grooms: Got it. Okay. Thank you. And maybe this one is for Gail. But the free cash flow, very good in the quarter, working capital management, just all around great showing. How should we be thinking about free cash flow from a flow-through standpoint or however we should be thinking about it kind of going forward, especially with the portfolio changes you've made with Stavola.
Gail Peck: Sure. And thank you, Trey. Good morning. We're very pleased with our cash flow generation in the third quarter. Really, year-to-date, about $130 million of free cash flow. That's up about 30% year-over-year. A lot of that came in the third quarter, and we'll continue to focus on cash generation for the balance of the year. The working capital, we are focused on levers that we can pull and control. So you saw a strong working capital in the quarter. A lot of that coming from liquidation of receivables, very healthy. Timing can always impact that. So maybe we had a little of that fourth quarter effect coming into the third quarter, but very pleased with that. You saw that we did tweak down slightly our CapEx guidance for the year. So again, it's levers that we can really control on the cash side. I'd point out as it relates to the fourth quarter, the focus will absolutely be there. But you do see a step-up in interest expense. I mentioned in my comments, we see about a $22 million increase in interest expense in Q4 now that we've closed a Stavola acquisition. We'll have a little bit of follow-on on transaction and advisory fees that you'll see in our EBITDA tables as well. So those will impact Q4 cash flow, but absolutely focused on controlling what we can control. Antonio talked about the outlook for 2025, we are very optimistic and cash is at the very forefront of our minds.
Trey Grooms: Okay. And last one for me. Strong margin expansion in Construction Products and other lines as well. But just in the interest of time, I just wanted to touch on this one specifically. And you mentioned improved unit profitability. Directionally, when you kind of think about price cost across the different kind of product lines there within construction products. How are you thinking about this -- maybe the directionally unit profitability and margins as we kind of going to '25 for Construction Products. I guess maybe both from an organ standpoint, but of course, now with Stavola in the mix.
Antonio Carrillo: Let me give you a high level, and I'll let Gail give you some of the data. But let me, if you think about what we've been trying to do, as we said, part of the volumes down is our pricing strategy. And for this year, we've been talking in every one of our calls about focusing on margins and prioritizing pricing over volumes and margin over volumes. And that's across the board in the company. We've mentioned before that we have included in our compensation margin as part of our compensation. So that's one of our goals. I think margin is what shows the quality of our business. So that's one of the things that you're seeing behind the scenes here. Second is the acquisitions, the small acquisitions we've done this year are all accretive to our margins, and we want to continue doing those bolt-ons that really from a multiples perspective and margin are really important. Third, I think you've seen and we've talked about it, we -- as we've done a lot of acquisitions over the last six years. There's things that are not perfect. And when you buy a company with a lot of plants and a lot of operations. This year, we have focused on pruning the portfolio and making sure that those operations that are not performing and where we don't see a path to having a strong presence or a strong position in the market. We've closed or sold or done things. And this is the first year we focus on that, and you're seeing that Gail talked about it, about the asphalt plant that we sold, we also closed some operations in West and some of the things you're seeing that. And that reduces revenue and those operations normally are less, less profitable than the other one. So you see a portion of the margin increase coming from that. So, and then focusing on the pricing increases. So all of those things together give us, I think is what you're seeing in the margin expansion. And that's kind of the big picture view. I'll let Gail give you some more detail if you need more.
Gail Peck: Sure. Maybe just a couple of things, I would add, maybe parsing the organic from the inorganic. Clearly expect, as we indicated at the announcement of Stavola acquisition for that to have an impactful impact on margins next year. As a reminder, Stavola, we see as a 35% EBITDA margin business. Of course, I mentioned in my comments some of the seasonality impact, and we will see that on margin in the first quarter. But we will -- we're pleased to see that accretion to the margin next year. And then when you think about organically, Antonio talked about low double-digit price increases through year-to-date 2024, which will help us have good momentum going into 2025 with the easing inflationary outlook. We see that combining to be a nice impact on the organic side as well.
Trey Grooms: Great. Thanks for the color. I'll turn it over. Thank you very much.
Operator: Our next question will come from Garik Shmois at excuse me, at Loop Capital.
Unidentified Analyst: Good morning. It's actually [indiscernible] on for Garik today. I think to a start, obviously, it's early, but any additional color or observations you guys can provide on Stavola, within maybe its operations or just perhaps synergies amongst costs or on the commercial side?
Antonio Carrillo: Yes, I'll take that. So we're very excited about Stavola. I think we took over just a few weeks ago. So things are going very well. The integration is progressing very well. We're excited to welcome the Stavola team on Board. I think we bought an incredible company, but more importantly, an incredible team of people that know what they're doing. I will tell you that as a company, what we've been doing over the last six years, every time we go, we don't have something that we just overnight we do our thing. It's more -- we're learning also what we bought. And that's part of our culture. We're trying to learn, and I think early indications are that things we can contribute to their operations, but they can also bring some things to our operations that we can improve. So excited about what we're seeing. The integration is not very complex. It's only five quarries and 12 asphalt plants. So it's not -- and it's very concentrated, so that makes it easier. So overall, I would tell you we're excited and we are very happy with what we're doing there.
Unidentified Analyst: Okay. Great. Yes, that makes sense. Thanks for that. And then quickly, just on the weather for the quarter. Was there any substantial impact within Construction Products? Or how do you guys bucket that?
Antonio Carrillo: We have operations in -- were useful. Many of the hurricanes and large storms and things. We have operations across the border. I mentioned in my remarks that the most important thing our people and our plants were not severely impacted. Of course, business is always impacted. I think our team did an incredible job in bringing back the plants. Many times, what happens is in the quarries, you get flooded, you have to clean them you lose power, we lost power in several of our plants, et cetera. So it's always a disruption. I think, of course, there's -- I cannot quantify it for you. But of course, we did have an impact. I wouldn't say it's a material impact in the quarter, but it was an impact.
Unidentified Analyst: Just I appreciate it. Thanks.
Operator: Our next question today will come from Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi, great. Thank you very much. Although I'm just trying to think about some of the delays that happened in this quarter as kind of following up on the last question is with the election delays and I guess the weather delays, will you be able to make that up in the fourth quarter? Or how should we think about maybe that total impact of all of that? I know it's kind of hard to kind of get, but if you could maybe steer us directionally and what the impact or maybe what the recovery might be in the fourth quarter? Thanks.
Antonio Carrillo: Yes. I think we have a solid fourth quarter in front of us. I think the business start doing well. Many times, I would say that the weather thing pushes things out, it's never easy to recover over the -- let's say, over the next few weeks. But the projects are there. What's important, I think for us is that the demand is there and the projects are there, and we see demand for products out there. So that's the important piece. On the rest of the businesses, I would say, the March wind are operating well, and we have solid backlogs and they're moving along. I would say in the utility structures one of the things that's happening, you do see projects being moved around. The positive thing, and that's an interesting thing that's happening is, for the most part, when a project gets moved, we have another product that comes behind it to fill the space, and we've seen that throughout this year. And that's a new thing in the industry. I think the demand is very strong, and therefore, we have the capability of moving projects around. There's always some moves in margins and things like that overall. I think we're in good shape for the fourth quarter. Our businesses are operating well. As I said, we don't have any major damage from storms and things like that. And so we were in good shape for the fourth quarter.
Gail Peck: Ian, I might add, this is Gail. Good morning. Just on the topic of storms. As I think about our Utility Structures business, we do have some plants in the Southeast. So you could see as that area is really working hard to recover. You can see maybe some timing where it might be difficult for our customers to take their deliveries on time. And so we're watching that for the fourth quarter, certainly not a demand issue, but with that area so hard hit that we have seen some impact there.
Ian Zaffino: Okay. Thanks. And then encouraged by the constructive comments you made on the wind tower side, is there a sense of maybe the timing of another order or maybe like the size of another order? And how do we actually think about that? And do you think it will be from the same customers or are there new customers coming in? Like any type of color you could give us there, that would be great? Thanks.
Antonio Carrillo: Let me start with the customers. As you know, there's -- it's a very concentrated market. There's not a lot of people, but the two big companies that are -- have a significant share of the market are both our customers, one it's much bigger than the other, but we're right now building for both. And we have inquiries and conversations happening with both. So that sets us well for access to the market. I'll tell you the one -- trying to give you the big picture, and that's something that I think when you look at demand, and I mentioned in my remarks, I think this is a '26 thing where we will see really installations go up. Therefore, this orders should happen sometime earlier than that, sometime in '25 that would be our expectation. I think the biggest thing that you need to keep in mind, and this is relatively new. So if you see the Inflation Reduction Act was approved in August of '22. And what has changed since then, and there's a lot of noise around elections and what's going to happen, and we can discuss that piece. We're not worried about it. I think there's always a possibility of depending on who wins the election, things can go one way or another, but we're not really worried about that. What has changed is the fundamental aspect of demand has changed dramatically over the last two years. If you think about the U.S. had zero load growth for 20 years. And over the last two years, with everything that's happening in electrification and data centers, I mean AI and all those things, the projections for load growth are -- have just changed dramatically, and there is now significant load growth. There is no way to meet that load growth without renewable power. There's a lot of talk about nuclear, that's going to take a long time. There's a lot of talk about gas. If you want to buy a turbine now it's four years. So I think it's -- what I'm excited about wind is not only about we will get orders sooner or later, probably next year. I think we're setting up the company very nicely. We're still operating at very low capacity. We're ramping up our plants, and we're setting up the company for a very, what I expect to be a very nice period of demand for this business that's coming from real demand for renewable power. So I'm excited about the business overall.
Ian Zaffino: Okay. Thank you very much.
Operator: Brent Thielman at D.A. Davidson, your line is open for our next question.
Brent Thielman: Great. Thanks. In terms of -- just on the Engineered Structures results this quarter, I mean it sounds like wind delivery picked up in the quarter. Maybe how do we think about the fourth quarter? Should we expect another sequential step up in deliveries? And then any way to give us some sort of guide post on the growth you'd expect to see in wind in 2025, just given the fact you already have substantial visibility right now into deliveries next year?
Antonio Carrillo: I'll let Gail give you the guide on the growth for '25. I'll give you a little bit of color, one thing that's important. What I mentioned about wind on the load growth, I think, applies exactly the same for utility structures, because all the -- whatever you do is to increase load in the U.S. production of electricity, you will need transmission. So I think that's why those two businesses are set up so well for the future. In the short-term, I think one thing that you're seeing that is hard to quantify and is when you look at the last two years, steel prices have dropped pretty dramatically. And that's hitting a lot of our -- the good news about -- for us is that we have a formula with our customer will be passed through significant variations in steel. So when steel prices are coming down, you see it in the revenue side. But you also see a margin expansion as prices come down. I think as we go into the fourth quarter and 2025, you will see that. You will continue to see compared to '24, early '24, you'll continue to see some volatility on the revenue side based on steel prices. But Gail mentioned that we expect a good quarter in the fourth quarter, and 2025 is set up nicely where we expect higher volumes in both utility structures and wind towers. And I'll let her give you a little more detail on that.
Gail Peck: Sure. Good morning, Brent. On wind, really good visibility for next year. As we've talked about in the second quarter is when we first started delivering at Belen, so we'll have the benefit of Belen being ramped up next year. That combined with our other two plants, operating probably at relatively consistent delivery rates to this year. We expect solid revenue growth out of the wind business for 2025 with the backlog that we have in hand. So I think maybe I could point you to, as you think about order of magnitude, if you look at the first quarter of this year, we had about $400 million of backlog for 2025. And most of that is wind. We do have some utility in there. So maybe 80% or so is in the wind realm. So that gives you a sense of the potential for revenue next year. But it's really coming from Belen. And as Antonio said, we're optimistic on the order front, but really see that coming in, in 2026 and beyond.
Brent Thielman: Okay. And maybe another way to ask this, Gail. In 2025, proportionately, would you expect wind to be a larger percentage of sales? And I'm just thinking about it from the standpoint that I think that should be pretty margin accretive to you?
Gail Peck: We would -- we expect -- we'll get the full-year effect of Ameron. We had Ameron for nine months. We'll have it for a full-year next year. We would expect wind to shift to a slightly larger share of the overall segment. With the efficiencies in Belen, we would expect to see some margin benefit there. So we're really optimistic as we look at 2025 for the segment.
Brent Thielman: Yes. Okay. I appreciate that. And then my other question is just on barge. Maybe if you could talk around your remaining capacity availability for 2025 relative to the, I guess the current visibility you have? Will you still be able to fulfill new orders next year as they come in? And I guess you have also talk about election, I'm not sure if any of that was in reference to this business, but do you have any thoughts whether that's impacting order trends are not there, I'd be curious.
Antonio Carrillo: Yes. Let me -- I mentioned in my remarks, the backlog, I mentioned that we have -- after quarter end, we booked additional orders. And the reason we thought it was important for us to mention that is we're fully booked for tank barges in 2025, if someone wants a barge. We're now into January of '26. And then on hopper barges, we're into July, so let's say, third quarter. So I think I think that gives us flexibility. And the reason that's important, and I'm going to generalize this as a company, given the positive demand trends see, I believe our capacity is valuable. And we -- when you have backlog, you have the flexibility to focus on margin again. We want to sell those orders at a margin that's important for the business and for our shareholders. So that visibility of backlog gives us time for us to continue ramping up the plants. The plants are ramping up, because we believe there's a cycle -- a strong cycle coming. And but even when we ramp those plants up, we're still running at relatively low capacity. So I think if the demand comes, we always have the capacity to ramp up capacity. And we would be running tank barge at 50% capacity and hopper barges also at a very low capacity. And what the beauty of what's happening when you see the margins of that business when it's running at such a low capacity, I think our potential as the business ramps up and we see the cycle, the potential for margin expansion is very interesting.
Brent Thielman: Excellent. Thank you.
Operator: And we will hear from Julio Romero at Sidoti & Company.
Unidentified Analyst: Good morning. This is Alex on for Julio. Thanks for taking questions.
Gail Peck: Good morning.
Antonio Carrillo: Good morning.
Unidentified Analyst: Just to start, I wanted to follow-up on an earlier question around Savola synergies. Could you talk about the opportunity to cross-sell some of your legacy products such as recycled aggregates into Stavola's geographic footprint?
Antonio Carrillo: Sure. This is -- let me start by Stavola already has a small presence in the recycled business up there. I think they have five plants. And I'm excited about it. We're still learning, and I don't want to overplay it. So we're still learning. We only took over a few weeks ago. But when you look at recycled aggregates, there is a -- the raw material, what changes between the recycled and natural aggregates is the raw material. The raw material is your biggest bottleneck. And when you look at this infrastructure in the Northeast around where we are located, it's aging infrastructure, and that's what -- part of what we liked about the business. It's a very repair and replace business and maintenance business. When we do maintenance, you have a lot of raw material for recycle that you can tap into. So -- we're excited about the potential of doing that. We've been very successful in Texas doing recycling and in Arizona, where it's a much newer infrastructure. So our expectations would be that there will be a very nice market in New Jersey for that. And around New Jersey and Pennsylvania, where they have also a few plants. So I think we're excited. To be honest, we're learning, we're just new around it. So, but I think there's really good potential. There's other potential opportunities in other products that our construction materials business have that they don't have stabilized and some other things. But we are researching and trying to understand. So I think as time goes by, I'll be able to give you a better sense of how big the opportunity is.
Unidentified Analyst: Great context. Thank you very much. And then one more, Antonio, you mentioned commitment to quickly a returning to net leverage targets. Can you just help me think about the pacing. Should we expect it to be a little bit more linear? Or are you saying maybe there's some weighting towards the near term or another part?
Antonio Carrillo: Well, we've said that our goal would be to be the target sometime between plays on 18 months after the acquisition closed. So I think what's important there when you look at the businesses, and we've mentioned a little bit on construction. But overall, our businesses are seasonal. And seasonality always have Stavola to create volatility in our working capital, which is -- with one of the tools we need to use to the de-levering. I think if you look at the tool is, of course, we have growth. We have working capital and then CapEx. The easiest one is CapEx, and we've talked at length about it, we are -- and you saw it this quarter, CapEx came down. Most of our growth CapEx is about to be done. We have a few that will go into '25, but for the most part will be done. And that will -- and we have a lot of visibility around that. So we will able to tap into the cash through CapEx. We want to continue operating the plant safely and with all the maintenance wins. So we're not cutting maintenance CapEx. We're only focusing on growth. And the reason that's important is. We're finishing all those growth CapEx that will contribute to our growth in '25 and beyond. So we'll continue to harness some of those investments we've done over the past years and continue growing. Second is the working capital. We're going to be focusing on working capital. That has a lot more volatility, but that's another tool. And finally, we expect to grow in '25. So those three things should help us generate more cash and that will help us reduce our leverage. So I think once we get below 3x net debt-to-EBITDA, we'll have a lot more flexibility, and we'll be able to continue allocating capital well. But we've said our goal is within 18 months to be there.
Unidentified Analyst: Very helpful. Thank you.
Operator: And that was our final question from our phone audience today. Ms. Drabek, I'm happy to turn the floor back to you for any additional or closing remarks.
Erin Drabek: Thanks again everyone for joining us today, and we look forward to providing our next update at the end of the year to you next time.
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. You may now disconnect your lines.